Operator: Greetings. Welcome to the Eagle Point Income Company's Fourth Quarter and Year-End 2020 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note, this conference is being recorded. At this time, I'll turn the conference over to, Garrett Edson of ICR. Garrett, you may begin.
Garrett Edson: Thank you, and good morning. Before we begin our formal remarks, we need to remind everyone that the matters discussed on this call include forward-looking statements or projected financial information that involve risks and uncertainties that may cause the company's actual results to differ materially from those projected in such forward-looking statements and projected financial information.
Tom Majewski: Thank you, Garrett. And welcome everyone to Eagle Point Income Company's fourth quarter earnings call. We appreciate your interest in Eagle Point Income Company or EIC. If you haven't done so already, we invite you to download our investor presentation from our website at www.eaglepointincome.com, which I will refer to during a portion of my remarks. On the call, I'll provide a little bit of high-level commentary on the fourth quarter and recent activity. Ken will walk us through the financials and then, we'll open the call to your question you might have. When we first brought Eagle Point Income Company to the public markets in July of 2019, we highlighted three key attributes as to why we're excited to be managing a double-B rated CLO debt focused fund, the potential for lower credit expense due to minimal default rates historically of double-B rated CLO debt over the past 20 years, the potential for higher returns compared to similar rated corporate securities and the protection that double-B rated CLO debt offered against rising interest rates. We were truly put to the test in 2020 in terms of the first attribute, credit risks and given the fears of give - certainly given the fears of corporate defaults, perhaps exceeding 10%, and outlook held by some in the depths of the market last year.
Ken Onorio: Sure. Thanks, Tom. For the fourth quarter of 2020, the company recorded net investment income and realized gains on investments of approximately $1.8 million or $0.29 per share. When unrealized portfolio appreciation is included, the company recorded GAAP net income of approximately $15.1 million or $2.48 per share. The company's fourth quarter net income was comprised of total investment income of $2.5 million, net realized gains on investments of $0.1 million and unrealized mark-to-market gains on investments of $13.3 million, partially offset by total expenses of $0.8 million. As of February 9th, net of pending investment transactions, the company has approximately $11 million of cash and revolver capacity available for investment. As of December 31, the company's net asset value was approximately $103.1 million or $16.89 per share, which is $2.05 higher per share than our net asset value, as of September 30. Management's unaudited estimate of the company's NAV as of January 31, was between $17.22 and $17.26 per share, reflecting a further 2% increase in NAV. During the fourth quarter, we paid three regular monthly distributions of $0.08 per share and declared monthly distributions for the first quarter of 2021, in the same amount. Earlier in February, we increased our monthly distribution effective April 2021 to $0.085 per share. As one of the requirements to maintain its ability to be taxed as a regulated investment company, the company is required to pay distributions to holders of its stock and an amount equal to substantially all of its taxable income within one year of its tax year end. On October 30, the company paid its second of two special distributions of $0.19 per share related to 2019 spillover income. We've just finalized 2020 to 99  and reported 12% of the company's distributions from 2020 will be treated as a return of capital for tax purposes. Our lower taxable income is primarily attributable to our CLO equity investments. While these investments paid without interruption during 2020, they were able to shelter a portion of their ordinary income last year for tax purposes.
Tom Majewski: Great, thank you, Ken. We're certainly very pleased with the portfolio's continued cash flow generation and appreciation over the past 10 months. We believe 2020 has validated everything we've talked about with respect to the CLO asset class. We once again comfortably out earned our distributions for the quarter and even out earned our new increased distribution rate. Positive momentum continues in 2021 with a 100% of our CLO debt and equity holdings that were scheduled to make payments paying currently. We have plenty of capital available to seek where we see opportunity, yet remain very disciplined in our deployment. We thank you for your time and interest in Eagle Point Income Company. To the extent there are any Ken, I would be happy to field questions from audience.
Operator: Thank you. 
 :
 :
Operator: Gentlemen, at this time, we have no questions. I'll turn the floor back to Tom Majewski, for closing remarks.
Tom Majewski: Great. Thank you very much for everyone participating in today's call. We appreciate your interest in EIC and look forward to following up with each of you in the next quarter. If you have any questions in the interim, please feel free to reach out to Ken or me. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines this time. Thank you for your participation.